Operator: Hello, everyone. Thank you so much for waiting, and welcome to NPK International First Quarter 2025 Earnings Conference Call. Please note that, this call is being recorded. After the speakers' prepared remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I'd now like to hand the call over to Gregg Piontek. Please go ahead.
Gregg Piontek: Thank you, operator. I'd like to welcome everyone to the NPK International first quarter 2025 conference call. Joining me today is Matthew Lanigan, our President and Chief Executive Officer. Before handing over to Matthew, I'd like to highlight that, today's discussion contains forward-looking statements regarding future business and financial expectations. Actual results may differ significantly from those projected in today's forward-looking statements due to various risks and uncertainties, including the risks described in our periodic reports filed with the SEC. Except as required by law, we undertake no obligation to update our forward-looking statements. Our comments on today's call may also include certain non-GAAP financial measures. Additional details and reconciliations to the most directly comparable GAAP financial measures are included in our quarterly earnings release, which can be found on our corporate website. There will be a replay of today's call and it will be available by webcast within the Investor Relations section of our website at npki.com. Please note that, the information disclosed on today's call is current as of May 2, 2025. At the conclusion of our prepared remarks, we will open the line for questions. And with that I'd like to turn the call over to our President and CEO, Matthew Lanigan.
Matthew Lanigan: Thanks, Gregg, and welcome to everyone joining us on today's call. We are very pleased with our execution in the first quarter, which continued to validate our long-term growth strategy and the strength of our unique value proposition. We believe, our commitment to scale, geographic expansion and unique product and service quality is being increasingly recognized by our customers and our investments in our commercial capabilities and rental fleet expansion continue to provide tangible benefits as demonstrated by our strong first quarter results. Entering 2025, the positive momentum from the fourth quarter carried over to the New Year. And as the quarter progressed, we saw demand on both rentals and product sales accelerate leading to a very strong finish to the first quarter. Total first quarter revenue increased 32% year-over-year to $65 million supported by meaningful growth in both rental and product sales. Rental revenue also increased by 32% year-over-year reaching yet another single quarter record supported by a growing demand across our core utilities, transmission and critical infrastructure customers. Product sales increased 55% year-over-year, reflecting both continued wood-to-composite mat conversion both lead operators supporting utilities and critical infrastructure end markets and timing of customer projects. Gross margin increased by 300 basis points to 39%, while adjusted EBITDA improved to $19.7 million in the first quarter, an increase of 59% versus the prior year. These improvements were driven by a combination of higher revenue, a stronger sales mix and improved operating leverage. Given the continued positive demand across our served markets, we maintained our commitment to invest in the expansion of our rental fleet investing in net $8 million in the first quarter, strengthening our scale, customer responsiveness and ability to serve the needs of the largest critical infrastructure projects. Also consistent with our plans discussed in February's call, we resumed our return of capital program using $11 million of cash in the first quarter to purchase 2% of our outstanding shares with an additional $1 million of purchases in April. In support of our program, our Board of Directors has increased the remaining share repurchase authorization to $100 million as of April 30th. As we entered 2025, we noted that, the secular megatrends underpinning investment in critical infrastructure remain robust, despite uncertainties being created by the realignment of federal government priorities, including the imposition of tariffs and reassessment of the IIJA and IRA programs. While the industry continues to wait for clarity on government actions, we are encouraged by feedback from our customers and broad market participants during the quarter, but their 2025 priorities remain relatively unchanged indicating a continued robust growth in their CapEx plans. Given that feedback, in combination with our strong performance in Q1 and the continued strength we see early in Q2, we have raised our full year revenue and EBITDA expectations for 2025. With that, I'll turn the call to Gregg for his prepared remarks.
Gregg Piontek: Thanks, Matthew. I'll begin with a more detailed discussion of our first quarter results then provide an update on our outlook for 2025 in capital allocation priorities. As Matthew touched on, first quarter revenues benefited from continued robust rental demand along with elevated product sales. Total rental and service revenues improved 4% sequentially and 23% year-over-year to $43 million in the first quarter. Revenues from product sales also improved 36% sequentially and 55% year-over-year coming in at $21 million for the first quarter. By industry, our year-over-year growth in rental and service revenues was primarily driven by the power transmission sector and increased pipeline activity somewhat offset by a lower contribution from the Oil and Gas sector, while product sales continue to be heavily directed to Power Transmission. Reflecting on the trailing 12 month period through Q1, our trailing 12 month revenue improved to $233 million, reflecting 16% year-over-year growth over the previous 12 month period. This improvement includes a 53% increase in product sales and a 15% increase in rental revenues somewhat offset by lower service revenues. Now turning to gross profit. The first quarter improved $3 million sequentially and $8 million year-over-year largely reflecting the impact of higher revenues along with the benefits of the associated operating leverage and stronger sales mix. With the continued strength in sales mix, we delivered a 39% gross margin in the first quarter, a 300 basis point improvement from the first quarter of 2024. SG&A expenses increased by $1 million from the fourth quarter to $11.7 million which was slightly higher than the first quarter of 2024 and in line with our expectations, as we absorb certain fixed overhead costs that were historically carried by fluids. As a percentage of revenues, the first quarter SG&A was 18.1% of revenues, reflecting a 50 basis point improvement from the prior quarter and a 550 basis point improvement from Q1 of last year. FX gains provided a modest tailwind to the first quarter driven by U.S. dollar to British pound currency fluctuations. Income tax expense was $3.5 million in the first quarter reflecting an effective tax rate of 25%. Adjusted EPS from continuing operations was $0.12 per diluted share in the first quarter, compared to $0.08 in the fourth quarter and $0.05 in the first quarter of last year. Turning to cash flows. Operating cash flow generated $9 million in the first quarter including $19 million from net income adjusted for non-cash expenses partially offset by $10 million of net cash used to fund growth in working capital. Total investing activities provided $5 million of cash, which includes $11 million of additional proceeds from last year's divestiture offset by $8 million of net CapEx, substantially all of which was invested into fleet expansion growing our composite mat rental fleet by approximately 2% from the end of 2024. Additionally, as Matthew touched on, we resumed share repurchases under a return of capital program using $11 million to purchase 1.8 million shares reflecting an average purchase price of $5.94 per share. We ended the quarter with total cash of $21 million and total debt of $8 million for a net cash position of $13 million. Additionally, we have $66 million of availability under our U.S. ABL facility, which currently has no outstanding borrowings. At the end of the quarter, we have roughly $7 million of net assets related to the fluid sale with substantially all of the receivables bearing interest at 12.5% per annum. Also as we discussed last quarter, we have significant U.S. Federal net operating loss and other tax credit carry forwards that we expect will limit our cash tax obligations over the next few years. Now turning to our business outlook. Despite some uncertainty that Matthew touched on, our customers continue to remain highly constructive on the near-term and longer-term outlook particularly for utility spending. As disclosed in yesterday's press release, in light of the strong start to the year, we have increased our full year 2025 expectations with total anticipated revenues now in the $240 million to $252 million range and adjusted EBITDA of $64 million to $72 million. The midpoint of our 2025 range reflects 13% revenue growth and 24% adjusted EBITDA growth over 2024. Breaking our full year revenue expectation down further, we expect, total rental and service revenues will grow roughly 15% to 20% over 2024, while product sales, which are more difficult to predict, are expected to remain somewhat in line with 2024 levels. Our net CapEx expectation remains unchanged at $35 million to $40 million which includes roughly $8 million to $10 million of maintenance capital. As for the near-term outlook, we expect to see Q2 rental volume to run at a similar level to Q1 with the quarter starting out above Q1 average monthly run rate and expected to taper off, as we head into the seasonally slower summer months. On the product sales side, we expect Q2 volumes will pull back into the mid-teens range following the strong Q1 result. In terms of SG&A, as discussed last quarter, we expect Q1 will reflect the high point of our quarterly spending. At this point, the majority of our post-sale administrative support obligations to the fluids business have been completed, and we are actively working to streamline our overhead structure for the simplified business, though the meaningful improvements are expected to be realized late in the year. In terms of capital allocation strategy, our priorities remain unchanged. We continue to prioritize investments in the organic growth of rental fleet and also expect to continue returning a portion of free cash flow generation to shareholders through our programmatic share repurchase program. We are also currently in the process of evaluating alternative revolving credit facilities that can provide us with greater liquidity to support our strategic growth plans. And with that, I'd like to turn the call back over to Matthew for his concluding remarks.
Matthew Lanigan: Thanks, Gregg. We are very pleased with our strong performance over the past few quarters, which we believe continues to validate our unique value proposition and growth outlook. As discussed last quarter, our strategy for 2025 remains focused on three foundational elements to drive long-term shareholder value creation through scale enhancement, operating efficiency and return of capital optimization. Our primary focus remains the acceleration of revenue growth through the expansion of our high return rental business, which includes a combination of geographic expansion within the U.S., while also expanding our customer market share within our currently served markets. Following our efforts in 2023 and 2024 to expand our sales team and enhance our sales force effectiveness capabilities, we are very pleased with the results being delivered. Consistent with prior quarters, our quoted volume continues to grow meaningfully year-over-year while our award rate remains in line with historical levels. As a result, in the first quarter, we delivered 32% year-over-year growth in rental revenues, which follows a 28% year-over-year increase in the fourth quarter of 2024. And as Gregg framed up, we expect to once again achieve double-digits year-over-year rental growth in the second quarter and the full year. To support this growth, we expanded our composite map rental fleet by approximately 13% in 2024, an additional 2% in the first quarter of 2025, as we continue to build on our leading position within the composite rental market. As the largest U.S. based manufacturer and rental fleet operator of composite matting, we are insulated from any currently known tariff impacts as 100% of our raw materials are sourced within The U.S. This allows us to maintain a competitive offering and meet industry growth expectations moving forward, which is good for both our customers and our shareholders. Our second focus area is on driving further organizational efficiencies across every aspect of our business with SG&A improving to 18.1% of revenues in the first quarter of 2025. We continue to evaluate and execute actions intended to streamline the organization and our cost structure and remain focused on our target of SG&A as a percentage of revenue in the mid-teens range by early 2026 as outlined in previous earnings calls. And our final priority is the allocation of capital beyond our organic requirements to optimize return of capital for shareholders. With a strong balance sheet and a disciplined approach, we will thoughtfully evaluate strategic inorganic opportunities that increase our value and relevance to customers in key critical infrastructure markets, while enhancing return on capital deployed. We also look to balance these inorganic opportunities against their return on capital program and remain committed to continuing our share repurchases building upon the 2 million shares purchased through April. In closing, I want to thank our shareholders for their ongoing support, our employees for their dedication to the business including their commitment to safety and compliance and our customers for their ongoing partnership. And with that, we'll open the call for questions.
Operator: [Operator Instructions] Your first question comes from Aaron Spychalla of Craig-Hallum.
Aaron Spychalla: Yes, good morning, Matthew and Gregg. Thanks for taking the questions. First for me, you talked a little bit on the sales additions and kind of quotes and order rates and positive trends there. Can you just maybe give a little more detail on just how that the pipeline growth looks kind of year-over-year and just how you're thinking about growth? It sounds like you're talking about continued double-digits growth, but just wanted to unpack that a little bit more.
Matthew Lanigan: Yes, absolutely. Yes, I think it's fair to say when you look at the growth rate in our rental over the last couple of quarters, our pipeline growth is keeping pace with that, which is obviously the fuel for that. So we're pretty happy that we're getting productivity out of the new reps and that it continues to build in that sort of magnitude. Given that when you look at the various timings of the projects and when they will fall and so on and so forth, that's why we're kind of calling Q2 the way we called it in full year at double-digits. Yes. I think the other thing to add there is, with something we've talked about in the past is that, we are seeing a greater proportion of our wins coming from those larger scale longer-term projects which also helps with not only the volume but that consistency.
Aaron Spychalla: Got it. Thanks for that. And then maybe second, you talked about the continued shift in the market from wood to composites. Can you just give a little more detail on where that's at today? How you think that can trend in the coming years and just what that could mean for your business and just kind of the value proposition behind that shift?
Matthew Lanigan: Yes. I think as we both touched on in the call, the preponderance of the sale in Q1 was to people, who had operated timber fleets in the past. So we are encouraged by the fact that we're seeing an adoption of historical timber fleet operators to composites. So that trend continues from previous quarters, which is encouraging obviously for us. That bodes well with the lightest composite fleet operator in the country and also have the manufacturing capacity to keep pace with those demands. So all encouraging in terms of our focus.
Aaron Spychalla: All right. And then just maybe one last one. Can you give an update on just M&A, and how you're kind of currently thinking about this geographic expansion and kind of focus on wallet share expansion? What's the pipeline look like there? And just, how are you thinking about kind of make versus buy as you look to expand the business?
Matthew Lanigan: Yes. Thanks, Aaron. Obviously, not going to get into specifics other than to say, it's an active work stream on our behalf. But I think you touched on the relevant point there. As we look at these things, it's always referenced against a make versus buy decision. We know the economics of what we do. And we're going to make sure that we evaluate those on a return basis. So keeping shareholder return front and center in those decisions.
Operator: Your next question comes from the line of Amit Dayal of H.C. Wainwright.
Amit Dayal: Thank you. Good morning, everyone. First of all, congratulations on a really strong quarter and a very timely execution on the share repurchases, really good to see that. Question around the rental business, it looks like that is mainly the driver for the near-term. Are you potentially fully utilized? It looks like you are. How should we think about growth in 2026 from the rental side? It looks like maybe majority of the CapEx is going towards the rental business. But are there any other drivers that can support that trend, I guess, where you're seeing a lot of demand on the rental side?
Matthew Lanigan: Yes. Look, I think if you look at industry CapEx spend, particularly around the utilities transmission spend, Amit, we look at that in the forward forecast, they're all positive in terms of their growth through their forecast period, which includes '26, which you touched on. So we feel good that the demand from the industry is there, the work needs to be done. And obviously, we have the capacity with our manufacturing footprint to flex our fleet to meet those demands. So I think it's really as simple as the utilities continue to spend more money on their transmission network and require more square footage of matting that we're there to provide it for them, which will drive the growth in the period you mentioned. Yes. And in terms of the CapEx, I think it's really we are committed to continuing to invest in the fleet as warranted to revenue growth that we're seeing, the demand growth that we're seeing in the market.
Amit Dayal: Understood. So, adjacent to that, I mean, it doesn't look like we are close to peaking, in terms of the investments and expansion going on with respect to just getting the power infrastructure in place. Any color on sort of where we are in that cycle in terms of all of these investments and projects being deployed at this point?
Matthew Lanigan: Yes. I mean, depending on who you talk to, Amit, I think we're pretty early innings on a revised kind of outlook for the industry. If you look at the industry over its more recent history, the growth rates on demand have been kind of low single digit and now we're calling with the whether it's on-shoring, whether it's AI, whether whatever the demand driver is, a meaningful uptick in demand, which obviously drives the need to have robust, reliable infrastructure to deliver that. So I think as long as those drivers remain, the uptick in activity will also remain. But the fact that the industry has grown its CapEx at a meaningful rate despite the its historical growth rate. So even independent of this surge in demand, it remains a very, very fruitful market for us.
Amit Dayal: Understood. And you mentioned you may have some further cost savings from sort of the post-divestiture expenses being removed. How big would that amount be on an annual basis going forward?
Gregg Piontek: Yes, that goes back to our previous commentary in terms of the SG&A reductions. It's really in the SG&A side that we see that and we're running on an annualized basis in the mid-40s and we talked about getting that down closer to the 40 level by early 2026. There's a few big pieces in that, one of which is really our IT systems and moving to a more fit for purposes, which is obviously a project that takes several quarters. So that's why the timings of where we see some of these improvements is really later in the year and into early 2026.
Operator: Your next question comes from the line of Gerry Sweeney of ROTH Capital.
Gerry Sweeney: Good morning, Matthew and Gregg. Thanks for taking my call. A lot of questions have been asked. I only have one or two sort of additional questions maybe to dig a little deeper. But it's more on sort of sales investment and opportunities around investment for growth. How much more of an opportunity is there? You obviously said in the prepared remarks that, the investment in sales are happy with the productivity coming out of some of the new reps, et cetera. But what should we be thinking about sales investment on a go forward basis? Is there still a pretty good opportunity out there to expand organically?
Matthew Lanigan: Yes. I mean, if you look at our footprint from a sales perspective, Gerry, we think that we've got some more to go there. Again, I think if we're probably looking at a few heads here and there around the country, so nothing that I would describe as very significant investments. And that really comes down to productivity and seeing how much we get out of each of our sales territories and whether or not we need to enhance our coverage a little bit there, which we're constantly looking at as we look at the productivity and the activity levels in those markets. So I think there's more to come, particularly as our sales team gets more comfortable and gets more tenured with us and understand our value prop deeper. So I think from that side, there's more to come from that, if I've answered your question correctly.
Gerry Sweeney: Yes. Just curious. And then also, any more any low hanging fruits, maybe some of your larger customers pushing you into regions that you're not necessarily in quite yet or are we sort of a little bit further into the ballgame per se, maybe a little bit later innings?
Matthew Lanigan: Yes. I don't know that I'd call it the love hanging fruit, Gerry. But we look at when we look at our share of wallet with our more established areas that we've been in, we still have ground to make up with the customers that we have more recently penetrated based on our sales expansion. So I don't want to diminish the work in the sales team and the operations team to win the trust of the customers to get a bigger share of wallet, but that's going to be a real focus area, which I kind of previously described as sales productivity. So it's not low hanging, but definitely opportunity.
Operator: Your next question comes from the line of Laura Maher of B. Riley Securities.
Laura Maher: Hi, Matthew and Gregg. So my question is, what would influence growth more? Would it be share gain growth against timber or geographic expansion? And then, how would that tie into your investment in fleet growth?
Matthew Lanigan: Yes, great question actually. I think, look, ultimately, we still see timber as the predominant technology in the market. So I'd have to say share growth against that would be more meaningful. When you look at the market coverage timber has traditionally enjoyed versus sort of calling out any specific region. So I would think, what we're seeing in the continued conversion of timber to composite is a more meaningful driver. And in terms of those investments together, it goes back to, we will with having the vertical integration here in the manufacturing side, we are feeding the fleet as needed to support our growth. And as Matthew touched on, expanded the fleet 13% last year another 2% here in Q1. And obviously, the returns on those investments we've established is a very high ROI. So we will to do that Laura.
Operator: Your final question comes from the line of Bill Dezellem of Tieton Capital.
Bill Dezellem: Thank you. I have actually a group of questions. So, if I go too long, just cut me off and we can take it offline. But let me follow-up on the last question, please. Clearly, the providers of wood matting are working to save their business. Are you seeing any opportunity or any interest from some of the wood competitors to buy mats from you, so that they can then supply what's traditionally been their customer base where their salespeople have relationships?
Matthew Lanigan: Yes. Bill, that's absolutely what's happened. It appears, we've developed a bit of an echo here, but yes, that's absolutely what's happening. When you look at our sales, the preponderance of those sales have been to customers who traditionally have rented timber products whose end customer is asking them to provide composites. So that's exactly what's happening, Bill. And really it really comes back to that issue of the longer-term economics. Obviously, the wood mat is a lower cost product with a short life. But when you look at it over the turn of our life, it's a we have the cost advantage as well, the economics is that advantage as well.
Bill Dezellem: And actually I'll use that as a segue to just this week. I was driving by a site and saw a matting that was in place. And it was, I could say, beat up or really well used, one of the two. So would you walk through what the replacement cycle is? I don't think I had really thought about the sales that you are making that eventually, those ultimately will be repurchased or purchased again to replace those that wear out or are broken et cetera. What's your history and what are you anticipating the lifecycle of the match to be?
Matthew Lanigan: Yes. We have matching athletes that are 20 years old. If you look at what the average is, we kind of stick to those things as a 15 year asset, 12 to 15 year asset when it's well looked after. So from that perspective, that's the life cycle that we operate under. What I can say is, if like anything in the world, if you don't look after it, you can break it. And so there are operators out there who may be a little harder on the mat and break it earlier than that, but you're definitely right. There is a return lifecycle on these products and what we've called out in the past is that, our manufacturing process and the core components of our mat are fully recyclable. So we can take that mat, we can run it back through our process and produce it at the end of our plant as a brand new mat once it gets to end of life, which is really where the economics start to add up here on the recyclability of this product and we do offer that to our customers who operate fleets of composite as well. So I think looking at it, if you look after your math, it's probably a 12 to 15 year cycle on that.
Bill Dezellem: And following up on that, how often are the mats looked after versus how often are they maybe treated like dirt if you will?
Matthew Lanigan: Yes. Look, I can't speak for everybody in the market, Bill. I can only speak for us and what I'd say is we're very motivated to look after them, which is why you see the economic value that we're able to extract from them. All right.
Bill Dezellem: Thank you. Let me switch to the new administration. Has Trump or anybody within the administration said or put any initiatives in place that are reducing the incentives that utilities had or reducing dollars that were provided to the industry for expansion?
Matthew Lanigan: Yes. I think I'd describe that as evolving. I think obviously, offshore wind has taken a bit of a pause there. Where that ends up, we'll find out. The question is, how many of these things are going to stick in the long-term bill versus be kind of just highlighted in the immediate-term. What I can say is if you look at the industry participants, the utilities, our customers, who have just all reported, they're fairly advanced in their supply chain initiatives to offset any tariff impacts. We're seeing the tariff impacts flow through at very low single-digits expectations from them. So that would not have a meaningful impact on their CapEx. So as we see it now, that's really why it sort of underpinned our confidence for the full year. There's a lot of moving parts, but net-net, the industry still feels very robust, and that's why we're encouraged by that.
Bill Dezellem: Great. Thank you. And then two additional questions, please. First of all, you had referenced in your opening remarks that rentals and sales both accelerated at the end of the quarter and therefore starting strong here early in the second quarter. Would you walk through the dynamics that are taking place there? Or is that simply normal seasonality? I mean, I was sensing that you were highlighting something more than that.
Matthew Lanigan: Yes. I'll break them apart because I think they're different. Sales is always going to be project timing dependent on our customers and when they want to make that investment. As we've said on a number of calls, when people purchase mats, they don't want to move them to a holding pattern and then put them on a job, they want to move them directly to a job to minimize their transportation expense. So we have a lot of dependency on project timing when it comes to the actual timing of those sales. When you look at rental, we are seeing, as I think we touched on in the call, Bill, just a sustained demand for that product right now which is underpinning our confidence in obviously tipping up our full year guide, but also calling what we said around the Q2 results, so our expectation, I should say. So just I'd say the industry took a pause in the second half. We saw that in second half '24. It was pretty pronouncing Q3 for us, and they're now organized and ready to go.
Gregg Piontek: Yes. And in terms of that monthly stream there, March was the strongest rental activity month for us as we said that continued into early April. But again, it is important to note that as you head into those summer months, you do expect things to slow down as you go through the summer heat as we usually see.
Bill Dezellem: All right. And would you please correct me if this is wrong, but I think of the fourth quarter as the seasonally strong quarter when it comes to purchases and yet the first quarter here was very strong on the purchase front. So first of all, is my memory correct, Q4 is seasonally the strongest -- and if that's the case, then how is it that we're seeing such strength here in Q1 that exceed Q4?
Matthew Lanigan: Yes. I'll have Bill, because I think traditionally, the strong Q4 seasonality was direct from utilities. And so what we're seeing now is a broader population of participants on the purchase side that don't necessarily have that end of year use it or lose it CapEx kind of crush. And so I think what we're seeing now is a spread, which is more related to project activity early in the year. But we also do expect that if utilities come to the table and when utilities come to the table, Q4 would traditionally be their bigger quarter. So you are correct, but I think there's a different dynamic in our sales pipeline than perhaps historically.
Bill Dezellem: Matthew, does that -- does that mean that it was an industry or industries other than utilities that led to the strength in the in the fourth quarter.
Matthew Lanigan: It was utility participants, but it wasn't directly utilities themselves.
Bill Dezellem: And congratulations on a really excellent quarter.
Operator: I'd now like to hand the call back to Gregg for final remarks.
Gregg Piontek: All right. That concludes our call today. Should you have any questions or requests, please reach out to us using our e-mail at investors@npki.com, and we look forward to hosting you again next quarter. Have a good day
Operator: Thank you for attending today's call. You may now disconnect. Goodbye.